Operator: Welcome to the First Quarter 2017 Results Conference Call. The speakers for today's call are Stuart Brightman, President and CEO; Elijio Serrano, Chief Financial Officer for TETRA Technologies. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mr. Brightman. Please go ahead.
Stuart Brightman: Thank you, Danielle. Welcome to the TETRA Technologies First Quarter 2017 Earnings Conference Call. Elijio Serrano, our Chief Financial Officer, is also in attendance this morning and will be available to address any of your questions; as well as Joseph Elkhoury, our Chief Operating Officer. I will provide a brief overview of our first quarter results then turn it over to Elijio for additional details which, in turn, will be followed by your questions. I must first remind you that this conference call may contain certain statements that are or may be deemed to be forward-looking statements. These statements are based on certain assumptions and analyses made by TETRA and are based on a number of factors. These statements are subject to a number of risks and uncertainties, many of which are beyond the control of the company. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements. In addition, in the course of the call, we may refer to net debt, free cash flow, adjusted EBITDA, adjusted profit before tax or adjusted earnings per share or other non-GAAP financial measures. Please refer to this morning's press release or to our public website for reconciliations of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. In my remarks, I would like to provide an overview of the first quarter of 2017 and our outlook for our business for the remainder of the year. I'm very pleased that during the first quarter, we continued to see favorable trends that we had noted earlier in the year. Our North America activity and associated profitability continues to increase as expected. The primary area of growth continues to be our Fluids business, where we have seen increased strength in North American activity. In addition, our Compression businesses has shown signs of improvement on a go-forward basis based on utilization trends. In our Fluids business, first quarter revenues increased 14% sequentially. This was primarily driven by activity in North America as well as a strong Gulf of Mexico performance. This is particularly encouraging given the first quarter results did not contain any major offshore CS Neptune projects. EBITDA margins were strong at 18.6% for the first quarter, even without the previously noted significant CS Neptune projects. As we look forward in this business, for the second quarter, we expect to see the normal seasonal uplift in our European chemicals business. In addition, we have secured new contract awards internationally that will be ongoing through the balance of the year. Finally, we believe our CS Neptune projects in the backlog will generate revenue through the second and third quarters this year. A major portion of our growth capital this year will be North America land, both water management in our Fluids business, product-wise. We continue to believe that our unique market position with our technologically differentiated services is being recognized by our customers and we expect to see continued opportunity with short payback periods. During the quarter, we continued to see positive signs in our Compression business. This is the second consecutive quarter that we saw continued increases in utilization, with the largest contributor being the higher-horsepower fleet. In addition, we continue to see our aftermarket services and parts demand increase as customers begin to prepare for idle equipment going back to work. In conjunction with that, we incurred reactivation make-ready costs during the quarter and we anticipate increased utilization of our fleet going forward. In April, we announced a quarterly distribution cut of 50% to $0.1875 per quarter. This action was taken to enable us to have the balance sheet flexibility to deal with the slower-than-anticipated recovery period and allow us to reinvest into the business as utilization increases. We continue to see opportunities that we're extremely encouraged about for growth capital deployment. In addition, we announced an amendment to the CSI Compressco revolver covenant that gives increased flexibility going forward. Our bank partners continue to be very supportive of our aggressive management of the balance sheet and recognize the underlying earnings and cash generation of our existing Compression business. Our Production Testing business showed increased revenue and earnings sequentially in the first quarter. Key drivers to these were increased North America land activity, particularly in Canada and Texas, coupled with the sale of an early Production Testing facility in South America which balanced the slower-than-anticipated start in other international markets. As we look forward in this business, we continue to see increased utilization in the U.S. and an improved activity profile internationally for the rest of the year. We continue to believe that activity will increase during the year and pricing will be slower to recover in the U.S., but trends will continue to be favorable. The Offshore Services business had a normal first quarter as the first quarter always is the lowest point of the year. As noted in our prior call, we have a much larger backlog than we did 12 months ago. We feel extremely confident that 2017 will be a much improved year for this business. We feel the increased activity, after several years of dormant demand by our customers, combined with our strong market position, gives us the confidence in this business for the balance of the year. TETRA-only free cash flow for the first quarter was a use of cash of $13.8 million. Typically, the first half of the year will be a lower cash flow portion. The second half historically has been much stronger. The first quarter cash flow was somewhat exacerbated by timing of certain collections that should take place during the second quarter of this year. As noted in the earnings release, we have adjusted our guidance to $20 million to $40 million of free cash flow this year. Primarily, this is the net effect of the reduced distributions of the MLP for the balance of the year as well as some incremental capital being allocated to North America land fluids. We feel very comfortable with both balance sheets. The recent distribution cut and bank amendment to CSI Compressco gives us additional confidence. In summary, we continue to feel very well positioned with the favorable trends in North America. We will look for high returns, short payback periods in these businesses during the balance of this year, particularly in the water management, land, fluids and mid-to-high horsepower compression services. Now as I get ready to turn the next set of remarks over to Elijio, I want to reiterate again the underlying strength of our 2 major businesses, our Fluids and our Compression. The margins that we've demonstrated without a major project in Fluids and a very unusual activity in the Gulf of Mexico, combined with the inherent cash flow generation from ops of our Compression business, reinforces our long term strategy that these are the 2 bases of growth through the full cycle for the company. With that, I will turn the call over to Elijio to provide more financial highlights.
Elijio Serrano: Thank you, Stu and good morning, everybody. TETRA revenue of $168 million decreased sequentially by 3% as improvements in Fluids and Production Testing were offset by the seasonality of our offshore decommissioning services and lower equipment sales at CSI Compressco. Fluids revenue increased sequentially by 14% to $73 million despite the lack of a significant CS Neptune project which we anticipate to begin later this quarter. The higher Fluids revenue was from an increase in traditional calcium bromide activity in the Gulf of Mexico, driven by [indiscernible] and stronger activity levels from existing customer base. In addition, our U.S. onshore oil and gas fluids sales were materially higher than the fourth quarter, reflecting the increased drilling and completions activity. Both the Gulf of Mexico and U.S. onshore gains in activity reflect the competitive advantage we have, being vertically integrated with a good cost advantage and proximity to market position. Adjusted EBITDA for Fluids of $13.6 million was the highest since the fourth quarter of 2015, excluding the benefit of any CS Neptune projects. First quarter Fluids adjusted EBITDA margins of 18.6% were also the highest since the fourth quarter of 2015 without the benefit of CS Neptune activity. We anticipate this trend to continue into the second quarter. The CS Neptune project that was previously delayed from the fourth quarter into the first half of this year is currently scheduled for later this quarter. Production Testing revenue increased sequentially by $6.2 million on the combination of stronger activity levels in North America and the sale of an early production facility in Latin America. As a result, adjusted EBITDA improved by $1.6 million and was our first profitable adjusted EBITDA quarter since the first quarter of a year ago. Adjusted EBITDA margins were 5.4%, also the highest since the first quarter of a year ago. CSI Compressco's revenue declined sequentially by $17 million or 21% to $65.6 million since the fourth quarter included over $24.6 million of equipment sales. Utilization increased 60 basis points to 77%, the second consecutive quarter of improved utilization. First quarter equipment sales were $5.7 million compared to $24.6 million in the fourth quarter. Our backlog of new equipment sales is slightly over $23 million, with the majority of that backlog expected to be delivered in the second half of this year. The first quarter was also the second consecutive quarter where backlog has improved for equipment sales. CSI Compressco's adjusted EBITDA was $17.5 million compared to $17.7 million in the fourth quarter as we incurred approximately $1 million of operating cost to prepare idle equipment for deployment in response to an increase in quotes, proposals and inquiries for equipment. This equipment make-ready costs were partially offset by $595,000 of increased EBITDA from aftermarket services as we're seeing our customers also order parts and begin getting idle equipment ready to respond to associated gas compression needs arising from the higher drilling and completions activity. Our large horsepower equipment utilization at the end of March was 87%, about 400 basis points from reaching full utilization. Once we obtain those levels, we will be in a better position to recoup some of the price concessions we gave during the downturn. Offshore Services revenue in the first quarter was -- is traditionally the weakest quarter of the year due to challenging weather conditions to perform decommissioning services. Revenue was $8.4 million, with an adjusted EBITDA loss of $3.54 million. The first quarter loss was $1.5 million better than a year ago despite the significantly lower revenue levels as our division management team continues to find ways to align costs with the lower revenue levels. On a consolidated basis, adjusted EBITDA excluding Maritech and unusual charges was $18 million, with adjusted EBITDA margins of 10.9%, again, without the benefit of a CS Neptune project. SG&A costs of $28.5 million were $5.2 million or 15% below the first quarter of a year ago, reflecting the cumulative impact of several management actions to continue to streamline the organization and reduce costs. As a percent of revenue, SG&A costs have been reduced from 19.8% a year ago to 16.9%, a 290 basis point improvement that we intend to leverage coming out of the downturn. Free cash flow in the first quarter for TETRA and excluding CSI Compressco but including the distributions received by TETRA from CSI Compressco, was a use of cash of $13.8 million since the first 2 quarters of the year have traditionally been the weakest free cash flow quarters given the seasonality of our businesses, especially with offshore decommissioning. As the quarter progressed, we saw a meaningful ramp-up in revenue at the end of the quarter that drove up accounts receivables and resulted in a use of working capital. These higher monthly revenue trends have continued into the second quarter. TETRA-only capital expenditures for the first quarter were $2.8 million, offset by $3 million of proceeds from the sale of assets. As Stu mentioned, we have adjusted total year free cash flow from $30 million to $50 million down to $20 million to $40 million to reflect the 50% reduction in the distribution from CSI Compressco, partially offset by SG&A costs being reimbursed from CSI Compressco back to TETRA in cash versus equity. That was done in the fourth quarter of last year and the first quarter this year. This was averaging between $1.5 million and $1.7 million per quarter. Therefore, the reduction in the distribution is expected to be partially offset by SG&A support being reimbursed in cash and will reduce TETRA-only free cash flow by $45 million. Additionally, given the strong demand and better pricing we're seeing for TETRA STEEL for water management, we're going to increase our capital expenditure for Fluids North America onshore to take advantage of this expanding market opportunity with our technology that is seeing strong demand. The combination of these 2 accounts were about a $10 million downward guidance in free cash flow for 2017. On the balance sheet, TETRA-only total debt leverage improved from 3.47x at the end of the fourth quarter of last year to 2.58x at the end of the first quarter of this year, reflecting the better trailing 12 months EBITDA and the benefit of the equity raise that we completed in December to strengthen the balance sheet. As a reminder, our covenant for total leverage is 5.0x and we feel that we have a very strong balance sheet position to take advantage of a recovering market, make working capital investments and take advantage of growth capital opportunities where we believe the returns justify the investment. For CSI Compressco, the 50% reduction in distribution, combined with the leverage covenant amendments we announced yesterday morning, has also positioned CSI Compressco to take advantage of a recovering market. The cash made available from reduced distributions will be used to reduce the amount outstanding on the revolver which is then available for us to fund working capital, maintenance capital and growth capital opportunities as they merit consideration. The CSI Compressco covenant amendment should alleviate concerns on covenant compliance. At the end of March, the amount outstanding on the revolver for CSI Compressco was $225 million against the capacity of $315 million. CSI Compressco's total debt leverage ratio at the end of March was 5.6x which compares to the covenant of 6.7x beginning in June. And finally, TETRA-only debt at the end of the first quarter includes $125 million on long term bonds that mature in the year 2022 and $18 million outstanding on a $200 million revolver that matures in late 2019. And with that, let me turn it back to Stu.
Stuart Brightman: Thank you very much. And at this stage, we'll open the lines for questions.
Operator: [Operator Instructions]. The first question comes from Sean Meakim of JPMorgan.
Sean Meakim: Stu, could you give us a sense of the contribution on the incremental margin for Fluids? Trying to get a sense for how much was our share of water management versus how much is offshore Gulf of Mexico. I know they are very sensitive the deltas have those businesses.
Stuart Brightman: Yes. I mean, again, I don't want to get that granular on the subcomponents, but I think in the -- on the points we discussed on the narrative, both of those contributed. I think I would categorize it as we're continuing to see ongoing activity ramp up in North America Fluids which will -- we expect that trend to continue. And even without Neptune, we had a very strong Gulf of Mexico first quarter based on the projects that we'd done with our existing customers. And I think we feel good about that. And our North America chemicals business, particularly with the onshore activities picking up -- and we continue to have strength in our nonenergy clients as well. So hopefully, that gives you a little bit of color. The net result were the margins that we ended up with. But again, I'd highlight there were no major Neptune projects in there and those are the components that led to that revenue and earnings uplift.
Sean Meakim: Is it fair to think that the order in which you gave us those -- as an indication of the rank of the contribution? Is that fair?
Stuart Brightman: I would say they're all meaningful contributions. Both the Gulf of Mexico and the water were meaningful. I don't want to rank them and kind of back into the relative percentages. I think -- again, Joseph has a couple of other points of color he'd like to add.
Joseph Elkhoury: Sean, to simplify the contributions in the first quarter, 1/3-1/3-1/3 if you want to make it very simple, as equally as important for us compared to the -- or sequentially.
Sean Meakim: Okay. That's helpful. And then just thinking about some of the moving parts on the cash and the free cash guidance, obviously, you gave a lot of kind of good detail on some of the pieces in terms of the change. But could you give us a sense of how much of the first quarter delta would you say was working capital-related? Trying to think about how that impacts the expectation going into the back half of the year. And then can you give us a sense of the Neptune contribution to the second half in terms of the cash guidance?
Elijio Serrano: So Sean, let me address those questions. All the use of cash was on working capital. We had a really strong ramp-up toward the back end of the quarter which didn't allow us to invoice and collect it before the end of the quarter. And that's continuing into April. And also, remember that traditionally, we have seen Fluids peak in the second quarter, especially as the Northern Europe activity hits its highest volume and all that revenue is monetized in Q3. And then offshore decommissioning starts off with an incredibly low base in Q1, ramps up in Q2, peaks at Q3 and then we monetize all that AR in Q4. Three years ago, when we generated revenue of $80 million, $60 million of that came in the second half of the year. Two years ago, when we generated revenue -- free cash flow of $120 million. $80 million of that $120 million came in the second half of the year. So there's a seasonality that's built into our business that consumes working capital in the first half and monetizes that working capital in the second half. And we expect to see that trend. Then the Neptune project, we mentioned that we're going to begin that in the back end of the second quarter which means that we'll probably monetize the AR in the third quarter. And then we have previously mentioned that there's incremental project or half project coming also up in the Gulf that will be done in the second half of the year which we expect to also monetize that AR in the second half of the year. So all that leads toward a significant use of cash on working capital in the first quarter and that should be monetized in the second half of the year.
Operator: The next question comes from Praveen Narra of Raymond James.
Praveen Narra: So I just wanted to kind of follow up on Sean's question a little bit. And I can certainly appreciate that you did not want to get too granular with this. But if we think about the Gulf of Mexico sales in the first quarter, how do those margins compare to a normal Neptune project just relative to each other?
Stuart Brightman: I think consistent with our prior calls, we don't delineate that. Clearly, the Neptune has a higher margin than the standard. But again, the margins associated with the Gulf of Mexico in the first quarter clearly were very good as well to contribute to that overall margin that we had.
Praveen Narra: Okay. And then, I guess, if we think about the Gulf of Mexico, we've heard about some other service companies kind of reducing their footprint in the Gulf of Mexico. Can you talk about kind of how you guys capture market share today and then how that competitive dynamic has either shifted or how you guys are seeing that today?
Stuart Brightman: Yes. I'll let Joseph handle that one because he's got the market share memorized.
Joseph Elkhoury: Yes. So simply, in 2016, we tried to improve our customer base and we won several smaller to medium-sized anchor accounts that have helped us on year-to-year market share position. Our customer base has been more active in the first quarter. We expect that to continue for the majority of 2017. And the wins that we have with regards to spot sales have helped us a little bit as well in the first quarter. Moving into the rest of the year, we will continue to aggressively target that spot market to improve our position. In terms of market share positioning, with regards to our completion fluids brand, we feel very comfortable that we can retain and maintain those market share wins we've had in the last 18 months.
Stuart Brightman: Yes. And again, I don't want to miss the opportunity because I want to continue to highlight it, just the overall strength of our Fluids business. We've got several businesses. Sometimes, we get into a lot of detail of different pieces which is fine. But again, the margins we're generating, our superior position on water management in the U.S. -- there's a lot of information out in water in the public domain these days. We have a very strong franchise and our continued new technology and our position, as Joseph mentioned, on the completion Fluids and the industrial piece that continues to perform, it's a very powerful combination that should always be the headline of what people think about when it comes to TETRA.
Joseph Elkhoury: So Praveen, just additional color on the rest of the year. Elijio did mention the seasonal pickup in our franchise in Northern Europe, so that will happen in Q2. We have seen an improvement in oil and gas for our chemical products on land in the first quarter and we expect that to continue for the rest of 2017 if we can really maintain those commodity prices around the $50 oil and not have another kind of head fake here moving into the rest of the year. And then lastly, we started slow on international, both on Fluids and Production Testing. And looking at the first part of Q2, we're picking up activity both on Fluids, completion fluids in addition to our Northern Europe chemical products and our Production Testing internationally, specifically in Saudi. So that should help you really in your model if you're trying to figure out the rest of the 2017 projections.
Operator: The next question comes from Stephen Gengaro of Loop Capital.
Stephen Gengaro: I'm going to ask one more question on the Fluids side and then I'll move on. But the second quarter, you talked about some of the positives that you have. The incremental margins that you saw fourth quarter, first quarter, can they be replicated in Fluids in the second quarter given what should be pretty solid revenue improvement?
Stuart Brightman: Yes. Again, I think Joseph was more precise than me on delineating the portions of it. And I think, as we said, we expect the onshore to continue to be strong and ramp up and we plan to deploy some additional capital in that business. The Gulf of Mexico non-Neptune was probably a little bit busier in the first quarter than we would anticipate on the average going forward, more a function of the specific jobs by the specific customers that we did really well on. And the seasonality that we always see in the European chemicals, that's kind of well documented historically of what that does. And the Neptune piece, as I said on the earlier question, typically has a little bit -- has higher margin than the average fluid. So I think if you put all those together, we feel pretty good about the margin progression.
Elijio Serrano: So Stephen, I would encourage you to go back and look at the quarterly trends for the Fluids margins and you can see the impact every time that we've done a CS Neptune project and what it's done to our overall margins.
Stephen Gengaro: Okay. And can you comment on the Fluids side, how the U.S. land revenue growth compares to rig activity sequentially?
Joseph Elkhoury: Yes. So if we take the low point of the rig count from last year to current, that has doubled. In our Fluids franchise on land, we have definitely exceeded those rates. And by the time we're at full run rate by midyear, we would have more than tripled the top line compared to the low point of 2016.
Stephen Gengaro: Okay. And then just one more on the -- actually, it's on the Fluids side as well. Several years ago, there was a -- I'm trying to remember the actual drivers, but there was a shortage and a sharp rise in the raw material cost. And you guys have the vertical integration strategy. You saw kind of an explosion in Fluids margins for a period of time. Given the industry trends right now and the demand growth that we're seeing which is pretty rapid, are you seeing anything on the input cost side that could potentially lead to maybe not the same level of magnitude but that kind of increase in sort of -- your peers pushing prices on Fluids and you benefiting from the raw material that you have secured?
Stuart Brightman: Yes, nothing of any material nature.
Stephen Gengaro: Okay. All right. And then just one quick one. Production Testing, can you give us any sense for the size of the early production facility in South America just so we could sort of get a sense for the modeling impacts going forward?
Elijio Serrano: We prefer not to be that granular given that it's one project with one customer. But I would say that the sequential improvement was driven by a combination of North America and that EPF sale.
Operator: The next question comes from Martin Malloy of Johnson Rice.
Martin Malloy: Question on the Fluids and the additional growth CapEx there. It sounds like it's maybe about $5 million there. I just want to confirm that it's roughly correct. And then maybe if you could talk about the payback that you're looking for there.
Stuart Brightman: Yes. I mean, again, I'm not going to get that specific on the amount of the growth CapEx other than to say the operating guys are very focused on identifying the mix in the geography and that is -- that will contribute to the revised free cash flow. So we feel pretty good about that.
Martin Malloy: Okay. And then on the Neptune side, could you talk about your international opportunities and maybe update us in terms of some additional customers looking at or maybe approving the product?
Joseph Elkhoury: Yes, I'll do that. This is Joseph. Good question. On CS Neptune, like Elijio mentioned in his prepared remarks, we expect to start this project towards the back end of Q2. That was the project that was delayed from 2016. So the revenues and the margins should really start somewhere around the end of Q2, moving into the second half of the year. Once that project is completed, we have a partial project that was kind of put on hold in 2016 that will start in Q3 and hopefully finish in Q3. With regards to pipeline, like I mentioned earlier in the Q4 call earlier in 2017, we continue to aggressively hunt for opportunities. We have a couple of credible opportunities still in the pipeline. These are the same opportunities that I spoke of earlier in the year. The product would have had a lot of other applications were it we were more active in, say, the offshore new projects. So with some of these customers, we're talking about projects that will be kicked off later in the year moving into 2018 rather than work that may or may not happen in 2017.
Operator: [Operator Instructions]. The next question comes from Cole Sullivan of Wells Fargo.
Coleman Sullivan: Most of my questions have been answered already. But on the Fluids side, you talked a lot about the different activity components that you're seeing. Can you give us a little bit more color on where you're seeing pricing within each of those fluid businesses?
Stuart Brightman: Yes. I mean, at a real high level, I think the pricing has held up reasonably well offshore. I think we're starting to see some improvements onshore. That's part of that ramp-up. And then on the industrial, the chemicals side, I think that's held up reasonably well. So it's all -- we're seeing the improvement in the areas you would expect. In the areas that held up during the downturn, they continue to do well.
Coleman Sullivan: Okay. I guess last on the backlog for Offshore Services. It sounds like it's shaping up pretty well. Can you walk through how much visibility you have for this year? Is it everything's, I guess, pretty much over to 2Q and 3Q? Can you go into a little more color there?
Joseph Elkhoury: Yes. I mean, we feel very comfortable with our projections for the second and third quarter. What we're trying to figure out is if we can extend the season into October and November, like we've done in 2015. So we're -- I want to try and give you a number, but it's really not public information. We've never given that number. But it's definitely more than around 3/4 of our projections for this year. And we feel comfortable between the verbal awards and the POs received that we can deliver our projections for the rest of the 2017 revenue and related margins.
Stuart Brightman: A couple of additional comments just to kind of further expand that. First, we're seeing, for the first time in probably 2.5 to 3 years, increased spending by the operators. I mean, that's been delayed, deferred. And that spending is clearly starting to increase. And secondly, I would argue that our balance sheet as a company and the strength of that and our ability to go out and compete with this business on a relative basis continues to get stronger and stronger. And I think that's noted by our customers and I think it's very important as they look at these complicated jobs that they see the stability of our business and our people in that segment.
Operator: There's a follow-up question from Stephen Gengaro.
Stephen Gengaro: Just a follow-up on Cole's question on the Offshore Services side. You talked about being in a better position from a backlog perspective. Would -- is it fair that the income that you generate in that business in the middle 2 quarters should be above a year ago?
Stuart Brightman: We would expect, for the full year, we're going to be above last year. And we've said the sequencing of the quarters is probably similar to historical patterns.
Stephen Gengaro: Okay, great. And then just one other follow-up. And I know this came up on the CSI call last -- I guess yesterday. The pricing on the -- in general -- because I looked at sort of the revenue sequentially, 4Q to 1Q. Even on the rental side, it was kind of flattish. But it could be that I guess the price because utilization is up a little bit. On the higher-horsepower units, you said you're close to kind of seeing some price. Do you think you'll see that in the next couple of quarters? And if you do, when does that sort of hit the income statement?
Joseph Elkhoury: Yes. I think from a pricing perspective, we probably have seen the majority of the impact of the concessions we've given over the last several quarters. So moving forward, I do not want to have any projections that pricing is not -- is going to turn. The sales cycles and the placement of compression is normally in months rather than in weeks, like Production Testing and land fluids and water management. So to turn it around from a pricing and revenue per horsepower average is going to take more than a few months to recover. So we hope that we will see the benefits of some of the new placements on the large horsepower which, on a relative basis, are much better rates than 2016. But in a relative basis, the deployed horsepower will be insignificant in the short term. So it will take a few quarters before we see a large impact from pricing. On the mid-to-lower horsepower, that hopefully will turn much quicker because of the amount of expected horsepower deployment here over the next 2 or 3 quarters.
Operator: There's a follow-up question from Martin Malloy.
Martin Malloy: I also had a follow-up question on Compressco. On the smaller and mid-horsepower units, I guess I would have thought that we'd see an increase in terms of utilization by now given that gas prices have been relatively healthy here for a little while. And also, if you can maybe talk about the inquiries or activity levels related to vapor recovery on those smaller units.
Joseph Elkhoury: Yes. So on the mid to small horsepower, we've seen an increased number of inquiries, if you will, related to gas lift and vapor recovery, specifically on really wet applications and the oil applications. The main challenge is the current rates for those compressors, right? So we've seen an increased inquiry level in the Permian, the Delaware Basin, the SCOOP/STACK and the Niobrara. So our backlog of opportunities continue to increase and we have had a couple of months of net increases on the low-horsepower segment with regards to number of compressors. Like I mentioned, hopefully, we will continue to face additional demand as the economics of those -- or the lower-horsepower class, as the economics of that lower-horsepower class start to improve for our customers, we will see increased demand and hopefully, utilization will turn. We, on a relative basis to last year, feel more confident that the economics are better. You have to figure out whether the customers are willing to deploy that capital on those wells in the short term.
Operator: The next question comes from Marc Bianchi of Cowen.
Marc Bianchi: You guys have already discussed this a little bit, but I wanted to clarify on the progression of Neptune over the next couple quarters. Do I have this right, that the project that carried over from last year which is about half complete, so there's another half project, that's the one that's starting up at the end of second quarter and then goes into the third and then there's another project in the third? Is that correct? Or if not, could you correct me on it, please?
Stuart Brightman: I think you've got it backwards. I'm glad you asked because we must not have made it as black and white as we should. The larger one should be the one that starts at the end of the second quarter and goes forward. And that should be followed by the one that started last year that would get finished.
Marc Bianchi: Okay, great. And all of that would presumably wrap up by the end of the third quarter. Is that kind of the best estimate at this point?
Stuart Brightman: It is. It is.
Marc Bianchi: Okay. And then what else do you have that could potentially fall into '17 on that front, if there's anything?
Stuart Brightman: I think Joseph had answered that before, but I'll let him give a quick response again because I know it's important.
Joseph Elkhoury: Yes. I mean, there are, like I mentioned earlier, Marc, a couple of other credible opportunities. I do not want to sit here and guess that they're going to happen in 2017. The probability of them happening in 2017 is low. Anything could happen. But at this stage, we're looking towards the end of the year and 2018.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. Brightman for closing remarks.
Stuart Brightman: Yes. Thank you very much. And as always, I appreciate the questions and we will look forward to catching up in early August with the second quarter results. So thank you very much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.